Operator: Hello, and welcome to our third quarter fiscal 2026 earnings conference call. Today's call is being recorded.[Operator Instructions] I'd now like to turn the call over to Tomas Grigera, VP, Corporate Treasurer.
Tomas Grigera: Thank you, operator. Joining me today are Pieter Sikkel, our President and CEO; and Dustin Styons, our CFO. Before we begin discussing our financial results, I would like to cover a few points. You may hear statements during the course of this call that express belief, expectation or intention as well as those that are not historical facts. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from the forward-looking statements. These risks and uncertainties are described in detail, along with other risks and uncertainties in our filings with the SEC, including our most recent Form 10-K. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management's expectations or any change in assumptions or circumstances on which these statements are based. Included in our call today may be discussion of non-GAAP financial measures, including earnings before interest, taxes, depreciation and amortization, commonly referred to as EBITDA and adjusted EBITDA, free cash flow adjusted for changes in working capital and adjusted free cash flow metrics, which are not measures of results of operations under generally accepted accounting principles in the United States and should not be considered as an alternative to U.S. GAAP measurements. Reconciliations of and other disclosures regarding these non-GAAP financial measures are included in the appendix accompanying this presentation, which is available on our website at www.pyxus.com. Any replay, rebroadcast, transcript or other reproduction of this conference call other than the replay as provided by Pyxus International has not been authorized and is strictly prohibited. Investors should be aware that any unauthorized reproduction of this conference call may not be an accurate reflection of its contents. Now I'll hand the call over to Pieter.
J. Sikkel: Good morning, everyone, and thank you again for joining our call. We're pleased to report strong third quarter results with adjusted EBITDA equal to last year's record third quarter, underscoring our consistent execution and positioning the business to close fiscal 2026 as one of our strongest years on record. Since the beginning of the fiscal year, we've shared the expectation of larger crops in key markets, the change from undersupply conditions experienced in recent years. As anticipated, procurement increased this year compared to prior year, while our customer shipping indications have remained consistent with expectations. Larger crops in both South America and Africa drove a temporary increase in working capital through the third quarter. Shipments from South America are weighted towards the back half of the year and higher crop volumes from the region drove improved results in the quarter. Africa primarily ships to customers in the fourth quarter. Larger crops in the region required incremental working capital deployment in quarter 3, positioning the business for materially higher revenue and profitability in quarter 4. We continue to successfully capture scale-related opportunities and efficiencies in a large crop environment through expanded third-party processing with improved fixed cost absorption. As a result, third-party processing contributed approximately $7 million of third quarter margins and $28.8 million year-to-date, highlighting the strength and value of our processing expertise and flexible global platform. We continue to progress with strategic initiatives such as the centralization and automation of our processing and receiving capabilities in South America to drive longer-term efficiencies and operational innovation while reducing the cost structure of the business. This year's third quarter results reflect a more normalized geographical and product mix and was largely driven by a higher proportion of by-product sales and stronger third-party processing activity. With fourth quarter shipments now underway, our year-to-date performance on margins firmly positions us to deliver strong full year results. During the quarter, we were proud to release our fiscal year 2025 sustainability report, highlighting the achievement of our 2030 operational waste reduction targets ahead of schedule and our continued reduction of greenhouse gas emissions. In total, our global operations recycled 30,000 metric tons of waste last year and decreased Scope 1 and 2 emissions by approximately 7,800 metric tons, which equates to the same amount of emissions generated by 1,815 gasoline-powered cars over the course of 1 year. The report underscores sustainability as a strategic lever that enhances our long-term competitiveness, mitigates business risk and strengthens our ability to attract and retain talent across our diverse global footprint. With the report's release, we also announced a refreshed sustainability strategy that sharpens our focus on areas where we can drive the biggest impact while further integrating sustainability into our value creation framework. With that, I'll turn the call over to Dustin for the financials.
Dustin Styons: Thank you, Pieter. Our third quarter results demonstrate solid earnings quality and reflect the cadence of larger crops we've been discussing. The additional volumes purchased earlier in the year are on schedule to ship in the fourth quarter, which will convert inventory into cash and materially reduce seasonal debt. This is expected to lower leverage as we close the fiscal year. Net sales for the quarter were $655.8 million, a decrease of approximately $123 million from the prior year, driven primarily by lower average sales prices and shipment timing. Gross margin per kilo was $0.80, which is slightly below last year due to changes in product and customer mix. Gross margin percentage improved modestly to 15.2%, supported by larger crops in South America and increased third-party processing. Year-to-date sales totaled $1.7 billion, down about $245 million versus last year. As expected, the impact of larger crops in South America and Africa have not yet fully offset the decline in carryover volumes experienced in quarter 1 and shipment timing. Gross margin per kilo remained strong at $0.81 compared to $0.85 last year, driven by product mix as the current quarter reflects a higher portion of byproduct volumes. Gross margin percentage improved to 14.6% from 13.9%, driven by increased third-party processing. SG&A expense was $38.3 million for the quarter, an $8.2 million improvement year-over-year, largely attributable to lower incentive compensation accruals. Year-to-date SG&A reflects a similar trend at $118.8 million. Operating income was $51.3 million for the quarter and $119 million year-to-date. Net interest expense for the quarter was $36.6 million, up $3.7 million, primarily resulting from the elevated seasonal funding required to support higher 2025 crop purchases. Our improved borrowing costs positioned us to keep year-to-date interest expense relatively flat despite increased average seasonal line borrowings. Equity pickup from unconsolidated affiliates increased $8.1 million to $12.4 million in the quarter. This was driven primarily by strong performance from China Brasil Tabacos, our joint venture with China Tobacco International, which benefited from the larger South American crops. Adjusted EBITDA was $80 million for the quarter, essentially consistent with the prior year, supported by lower SG&A and the increased equity pickup. Year-to-date adjusted EBITDA of $164.2 million is also broadly in line with last year, excluding the impact of prior year carryover sales. These results, together with our steady gross margin performance, underscore the strength of our fundamentals as we enter the fourth quarter. Quarter-to-date and year-to-date cash flows reflect the impact of concentrated first half leaf purchases with the majority of the larger African crops set to ship before the end of the fiscal year. A similar impact was reflected in our operating cycle, which increased to 184 days, but is expected to improve with fourth quarter shipments. At the end of the third quarter, the latest 12 months adjusted free cash flow represented a use of cash of $186 million. This included $181 million use from the changes in working capital. The year-over-year inventory increase of $207 million was the principal change in working capital and was funded by increased seasonal borrowings. Uncommitted inventory remains low at 3.6% of processed inventory in quarter 3. As we move into the fourth quarter, our peak shipping period, we continue to expect significant working capital release that supports the paydown of seasonal lines and the improvement of leverage and interest coverage. Liquidity remains strong with no borrowings on our $150 million ABL and $130 million of cash to fund increased fourth quarter shipments and seasonal line maturities. Leverage of 6 turns and interest coverage of 1.4 turns are consistent with this year's working capital cadence and should improve at year-end. We are well positioned to support fourth quarter shipping and remain on track to deliver one of our strongest years on record. We reaffirm our full year fiscal 2026 guidance with expected results in the range of $2.4 billion to $2.6 billion in net sales and $215 million to $235 million of adjusted EBITDA. I'll now hand the call back to Pieter.
J. Sikkel: Thank you, Dustin. Our third quarter performance underscores disciplined execution, strong customer engagement and the advantages of our global footprint in a year defined by larger crops. We have clear visibility of fourth quarter shipping and remain focused on efficiently converting inventory, strengthening cash generation and positioning ourselves to close fiscal 2026 as one of our strongest years on record. With that, operator, please open the line for questions.
Operator: [Operator Instructions] We will take our first question from Oren Shaked with BTIG.
Oren Shaked: So I wanted to focus in on the inventory. Obviously, you guys talked quite a bit about that in the prepared remarks. The 23-day increase in the operating cycle, if I'm understanding this correctly, should largely correct in fiscal Q4 as you convert that inventory to cash. And so first of all, just if you could please confirm that we're thinking about it correctly. And then secondarily, how should we then think about your inventory needs in fiscal year '27, given that we are now firmly in an oversupply condition, both in terms of the cadence of the inventory needs and then also maybe on just the sheer quantum of that inventory that you will need going forward?
Dustin Styons: I'll address the first question, and I'll allow Pieter to address your second question on 2027 -- fiscal year '27 purchases. You're thinking about the operating cycle correctly. As we've mentioned, the cadence of this year's shipment plans as well as the working capital requirements and inventory requirements in order to meet the customer requirements has shifted the cadence, and that's driving that inventory increase moving into quarter 3 and aligned with what we said in quarter 4, that inventory should sell through or will sell through in quarter 4, and we'll see a reduction in that operating cycle. So I think you're thinking about that the correct way.
J. Sikkel: And talking about fiscal '27, I think you're really digging into a supply and demand question here. So when we look forward, we think about supply and demand and our demand for '27. From a demand perspective, I think we're looking at very similar levels from our customers' requirements for fiscal '27 as '26 as global consumption continues on a very -- slight downward trend. At the same time, obviously, we're focused on market share, profitability and the volume requirements we need against the indications that we have. We're gathering those right now, and we're looking in a positive position for '27. So for us, really, as we start to acquire that, the markets have opened in South America as anticipated, it's relatively slow. Crops are good, but the crop volumes are similar to last year in flue-cured tobaccos. And we anticipate as the year goes on, acquisition prices of inventory will be lower than last year with the high crop sizes that we anticipate continuing, particularly in flue-cured tobacco for next year. But that's all part of the cycle that we have. But in general, relatively stable demand, softer pricing on acquisition of tobaccos. And obviously, with our strengths in terms of conversion and trying to focus on reducing conversion costs, we look to focus on profitability for the business.
Oren Shaked: So Pieter, should we be thinking maybe with that comment on the acquisition prices going lower over the course of the year, will you be trying then to purchase tobacco later in the period in fiscal '27, all things being equal versus the cadence of purchasing in fiscal '26?
J. Sikkel: Look, the timing in each individual market will vary. We're certainly not expecting a rush to purchase this year with the way the markets are at this point in time. So it may be a little bit slower than last year. So far in South America, it is a little bit slower than it was last year, and we'll see how that continues as the year goes on.
Oren Shaked: Okay. And then maybe can you give us a framework, Pieter, for -- given that oversupply is a new framework, a new dynamic for many of us who are covering the story. How should we think about the duration of oversupply? How long has it normally lasted in the past until things started to shift back to undersupply? And then maybe since we're just on this topic of supply versus demand in general, where is customer duration now versus where it has been over the last few years?
J. Sikkel: Yes. Look, these oversupply, undersupply cycles, we've experienced them many times in the past. It's something we're very used to working through. Frankly, and I think I've said this before, we prefer a slight oversupply market. It's when we can acquire the product at the correct price from the farmer base, maximize our efficiencies in our facilities and continue to work on reducing conversion costs and improving margins. And our demand and our inventory position is relative to what we purchase compared to the whole market around the globe. If pricing is correct in the coming year, I would anticipate by the end of the year, we'll be projecting considerably reduced crop sizes in the following year, and that will start to potentially eat away any oversupply that's sitting in the market. If we look at the individual crops from our perspective, yes, I think flue-cured tobacco, we're looking at slightly lower crop sizes in totality for this year compared to last year. Burley actually, we're already seeing a considerable reduction coming in this year. So that, from our perspective, is probably a little bit more of a balanced situation already. Oriental tobacco, we have some increases, but we've got strong demand for Oriental. So we believe we're in a good position. And dark tobaccos, we're not really involved in that market to any significant degree. So we don't really focus on those.
Oren Shaked: Super helpful. Last one for me. Dustin, SG&A looks to me like it's going to end the year actually maybe even down year-over-year in dollars. That's the first time we've seen that, I think, in a few years. How do we think about SG&A in fiscal '27 and beyond? Are you now at a stable level? Should we be thinking about it increasing going forward?
Dustin Styons: I think generally, we see SG&A being stabilized. As we mentioned, some of the reductions this year is primarily due to certain accruals during the quarter, especially on the back of last year. So I think where we are is stable. Obviously, a lot of that is subject to various FX dynamics across the world. But as far as incremental or structural shifts, I think we're right where we need to be.
Operator: [Operator Instructions] We will take our next question from Patrick Fitzgerald with Baird.
Patrick John Fitzgerald: First of all, what was other expense in the quarter? It was elevated.
Dustin Styons: Yes. Other expense is related to a long-standing -- I think we highlighted this in the release, a long-standing customs resolution that we decided to settle within the quarter so that we could advance other strategic initiatives in that specific market. There are also some variability and changes related to FX and some other items, but the main item is what I described.
Patrick John Fitzgerald: Okay. And then if I'm looking at your fourth quarter results from prior years, the $61 million implied for the fourth quarter this year by your midpoint in guidance is really an outlier. Could you talk about what the shipping expectations are versus prior years to kind of hit that mark? What are some of the key things that need to happen to hit that guidance range?
J. Sikkel: Patrick, you're right. If you look at year-to-date and our guidance, we're obviously projecting a considerably larger in any metric quarter, quarter 4 than we had last year. And this is very much related to the cadence that Dustin talked about earlier with the larger African crops, in particular, representing a larger portion of our sales this year. And you can see that reflected in the $200 million of additional inventory we've got in quarter 3. Obviously, we are anticipating shipping significantly higher volumes and value in quarter 4. So far, that has been for the first 5, 6 weeks that we've been through, that's been running according to plan. But obviously, there's still a significant amount to go, a large portion in March and a large portion of that comes from the African region, which is a little bit less reliable in terms of being able to load and ship at the port, can sometimes be impacted by weather and so on. But so far, it's running very well. We have good visibility to it. And we are very confident where we are in the guidance.
Dustin Styons: Patrick, I'd also like to highlight related to that, if you look at the inventory increase and the cadence shift that we've mentioned and specifically our uncommitted levels remaining very low, gives us a lot of confidence going into quarter 4.
Patrick John Fitzgerald: All right. Great to hear. I wanted to ask about the unprocessed inventory level versus where it was last year. It's like up $40 million year-over-year. Is that by design? And do you expect that to remain elevated or maybe last year was lower than you typically ran at. Any thoughts on that?
Dustin Styons: Yes. On the unprocessed inventory, that's related to what we would also call grain inventory, again, very anchored to what we've been mentioning with the larger crops, particularly in Africa, that processing season is in quarter 3, along with other markets, but predominantly Africa. And with the smaller crops last year, we had -- we did not have as much that would carry over processing into quarter 4, whereas this year, we have had that. So that's very much expected along with the crop sizes and the cadence that we see this year.
Patrick John Fitzgerald: Okay. Great. And then any thoughts on how much you expect to have on the seasonal credit line at the end of the year. You had $395 million at the end of last year. That was pretty low. Do you expect to come close to that mark or?
Dustin Styons: We do expect, I mean, obviously, with quarter 4 being a significantly higher quarter this year on the sales front. And as those sales go through, yes, the inventory is converting to cash and reducing the seasonal line. So for quarter 4, we are expecting quarter 4 to be the highest sales quarter, the highest cash generation quarter, and therefore, that would translate to the lowest inventory as well as the lowest seasonal line balances.
Operator: We will take our next question from Chapin Mechem with Northeast Investors.
Chapin Mechem: Congrats, I guess, on what's looking to be another great year. I'm just wondering if you can comment at all on anything relating to the refinancing.
Dustin Styons: Yes, we've -- our focus has been executing this expected record year on the back of multiple years of significant improvement. And as we close this year out, we believe that we're in a very strong position. And as we turn our focus to any capital market activity, we are feeling really good about what we need to get done.
Chapin Mechem: Okay. So have you started the process or -- I mean any comments on timing? Or is that...
Dustin Styons: No comments on timing at this point, but it is very much top of mind. And again, the focus has been on delivering this record year on the back of multiple years of improvement, consistent improvement, and we do believe we're well positioned, so.
Operator: This concludes the Q&A portion of today's call. I will now hand the call back to Mr. Grigera for closing remarks.
Tomas Grigera: 1 Thank you, operator, and thank you to everyone on the line for your interest in Pyxus. We appreciate your time and engagement today, and we look forward to keeping you updated as we execute on our commitments through the remainder of the year. And this concludes our call.